Operator: Good afternoon, ladies and gentlemen. Welcome to today’s Wireless Ronin Technologies 2009 third quarter earnings conference call. As a reminder today’s call is being recorded. I would now like to conference over to Ms. Linda Hofflander, Please go ahead, ma'am.
Linda Hofflander: Thank you Nancy and welcome everyone to our 2009 third quarter conference call. With me today are James C. Granger (Jim), President and Chief Executive Officer and Darin McAreavey, Vice President and Chief Financial Officer. After brief comments from management, we will open up the call to your questions. Before we begin, please note that the information presented and discussed today includes forward-looking statements, which are made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Our actual results in future periods may differ materially and you should not attribute undue certainty to our forward-looking statements. Risk and uncertainties that could cause our actual results to differ from those expressed or implied by forward-looking statements, include those set forth in the cautionary statement session of the Form 10-Q we filed on May 8, 2009. In addition, our comments may contain certain non-GAAP financial measures, including non-GAAP operating loss and non-GAAP gross margin. For additional information, including a reconciliation from GAAP results to non-GAAP measures, how the non-GAAP measures provide useful information and why we use non-GAAP measures, please see the reconciliation section of our press release which appears on our website at www.wirelessronin.com. Now I'd like to turn the call off to Jim, who will discuss our third quarter results.
James Granger: Good afternoon, everyone and thanks for joining us on today's call to discuss our 2009 third quarter results. As we look back over the third quarter, we have a number of things to discuss starting with third quarter results as well as the recent announcement of our stock offering. The general economy and lack of capital for investment continued to restrain spending on digital signage during the third quarter of 2009. While the third quarter produced a slight increase in sales over the second, it was not the significant snapback we had hoped for. However, the company booked approximately $800,000 of orders for which we are unable to recognize revenue in the period. We consider this momentum late in the third quarter as an encouraging sign. We believe and remain confident that the existing drivers around operational execution and the ability to increase sales as result of implementing our solutions provide an opportunity for a compelling return on investment to our customers.
e : KFC has awarded an important project which better positions their organization for large-scale deployment of digital menu boards and while there is some modest revenue to report in the branded retail space in the third quarter, what we are seeing is increased activity in terms of the request for proposals. It is projected that the retail digital signage market is to triple in size by 2013 as they seek alternative means of reaching customers. I will expand upon our client relationships further following a financial update from Darin. Before I hand the call over to Darin, I’d like to mention a few things regarding the financials for the quarter. We continue to see a gross margin increase pointing to a successful business model for the long run. As an example, our actual gross margin dollars more than tripled in comparison to the same period a year ago. This points to the fact that we are emphasizing our valuable software and services versus hardware sales. Our cash burn increased slightly, much of this was due to the timing of collections and a modest increase in development costs as we prepare for 2010. As we had pointed out in past quarters, we continue to position the company for long-term success and we will not jeopardize long-term quality of our best-in-class product offering by cutting necessary investments to the sake of short-term financial results. Finally, we significantly strengthened our balance sheet, having entered into subscription agreements for the sale of $6.7 million of common stock in our registered direct stock offering. With this capital raise, we will be in a position to make additional investments in sales, development marketing and further strengthen our position in the QSR automotive and branded retail markets as well as support our relationship with NEC Display Solutions of America. I will discuss this in further detail later in the call. Now I will like to turn the call over to Darin for an update on third quarter results.
Darin McAreavey: Thanks, Jim. Good afternoon. Today we announced that third quarter revenue totaled approximately $1.1 million compared to $2 million for the same quarter of the prior year. As of September 30 2009, we had received purchase orders totaling approximately $800,000 for which we had not recognized revenue. Although this represents a year-over-year decline of 45%, the actual decline in sales of our proprietary software and services was 34%. Reflected in the prior year’s third quarter results was one transaction totaling approximately $500,000 for the resale of another company’s hardware and software. The remaining decline in revenue was primarily attributable to a slowly recovering automotive industry and a continuing measured rollout of digital signage deployments with our QSR customers including KFC, Aramark and others. However we are starting to see a willingness to commit capital dollars from existing customers and prospects for considering large-scale digital signage deployments. This is evident by an increase in the number of request for proposals, the number of ongoing store pilots and also two new development projects received late in the third quarter. During the first nine months of 2009, our revenues totaled $3.5 million compared to $5.5 million for the same period in the prior year. This represents a 37% decline over the same period in 2008. As mentioned previously, our revenues continue to suffer following the collapse of the automotive industry during the second quarter of 2009 and a continued hesitancy of companies committing to spend capital dollars. However we remain confident that operating efficiencies and [sales] will result from implementing our solutions provide customers with accrued return on investment. We believe that these factors will eventually compel potential clients to make the buying decision and commit capital to these implementations. On a GAAP basis, our third quarter 2009 net loss totaled $2.5 million or $0.17 per basic and diluted share, compared to a net loss of $4.6 million or $0.31 per basic and diluted share for the same period a year ago and down from our net loss of $2.7 million or $0.18 per basic and diluted share in the second quarter of 2009. The decrease on our net loss from the year-ago quarter was primarily attributable to the reduction in employee compensation and related expenditures that resulted from the workforce reduction initiatives taken during the third and fourth quarter of 2008 and other general cost cutting measures primarily taken during the first half of 2009. During the current quarter, we increased the level of expenses in the area of research and development when compared to the second quarter of 2009 in an effort to further invest in our proprietary RoninCast software. We believe this investment is absolutely critical to ensure the future success of the company. This increase was partially offset by cost reduction initiatives across the company. We continue to monitor our current expense levels relative to our forecasted revenues. We are strongly committed to containing costs to the lowest reasonable level without jeopardizing our ability to support existing customers and obtain comparable new customers. Excluding one-time expenses and non-cash charges, the third quarter 2009 non-GAAP operating loss totaled $2.1 million or $0.14 per basic and diluted share versus a non-GAAP operating loss of $4 million or $0.27 per basic and diluted share in the third quarter of 2008. Sequentially, our non-GAAP operating loss was the same both in dollars and on a basic and a fully diluted per share basis for the third and second quarters of 2009. Our non-GAAP operating loss for the first nine months of 2009 totaled $6.6 million or $0.44 per basic and diluted share versus a non-GAAP operating loss of $11.8 million or $0.81 per basic and diluted share for the same period in the prior year. Gross margin for the third quarter of 2009 was approximately 34% as compared to 5% in the year-ago period and up from 23% in the second quarter of 2009. The improvement on a sequential basis is due to a more normalized margin of hardware sales in addition to an expanding base of recurring hosting and software maintenance fees. The third quarter of 2009 marks a significant milestone for the company as we project that recurring revenue will yield its first positive gross margin starting in the fourth quarter of 2009. We believe the growth in recurring revenue validates the scalability of the business and capacity to deliver expanding margins as the customer base grows. We continue to focus on selling high margin software and services with less emphasis on lower margin hardware sales. However, there are situation where it makes sense for us to be the primary contractor for customers who seek a turnkey digital signage solution which traditionally includes the sale of hardware, software and services. Total operating costs for the third quarter of 2009 were $2.8 million, down from $4.9 million in the third quarter of 2008 and down approximately $100,000 from the previous quarter. For the first nine months of 2009, our operating costs were $8.9 million compared to $14.9 million for the same period in the prior year. The decreases were again due to a reduction of both employee compensation and related expenses from the workforce reductions taken in the third and fourth quarter of 2008 and other cost reductions taken primarily during the first half of 2009. Included in the first nine months of 2009 and 2008 were severance charges of approximately $400,000 and $800,000 respectively, the remaining severance payouts as of September 30, 2009 were approximately $100,000. Absent the receipt of a large-scale deployment, we continue to expect our overall operating cost to remain at a level similar to those experienced during the third quarter of 2009 through the balance of this year. Included in today’s earnings release and financial results is a reconciliation between the GAAP and non-GAAP operating loss. It’s [like] in one way in which we look at profitability and cash utilization for the company. It is similar to EBITDA, but adjusted for certain other one-time and non-cash items. This supplementary schedule details the items and effects of non-cash and one-time adjustments and shows the trend and reduced cost improvements in our non-GAAP operating loss for the quarter. Turning to the balance sheet, at the end of the third quarter 2009 cash and cash equivalents in combination with restricted cash totaled approximately $7.5 million compared to $9.8 million at the end of June 2009 and $14 million at the end of 2008. Having entered into subscription agreements for the sale of $6.7 million of common stock in our registered direct common stock offering, we anticipate adding an additional $6 million of net proceeds to our cash position. This capital raised in combination with existing cash on hand will help secure our future and fund our business well into 2011. Our cash burn for the third quarter of 2009, which primarily resulted from our operating loss was $2.3 million, compared to $4.4 million for the same period in the prior year and $1.8 million in the second quarter of 2009. The sequential increase and quarterly cash burn was primarily due to timing of cash collections and a significant concentration of orders received and projects completed at the end of the quarter. Finally, I would like to summarize the financial results for the quarters as follows. We continue to show improvement in our gross profit margins of 34% in the third quarter of 2009 compared to 23% last quarter. This now represents five consecutive quarters of improving gross margins on a percentage basis. We continue to reduce our operating costs to $2.8 million in the third quarter from $2.9 million last quarter and lastly we significantly strengthened our balance sheet with the completion of the capital raise with net proceeds of approximately $6 million. I would like to turn the call back over to Jim before we open the call to your questions.
James Granger: Thanks, Darin. As I previously mentioned, we see encouraging signs for the coming year, as we are starting to see early evidence of companies willing to commit capital dollars to digital signage deployments by the receipt of two significant projects received late in the quarter. Deal flow is up and we continue to manage the business for long -term success. The additional capital from our recent registered direct offering, along with control over expenses, puts WRT in a position to weather the near-term storms while gaining customers for the long term. I would like to highlight a few customers and markets, which illustrate this point.
,: In the United States, it is a growing concept to fill the space between fast food and casual dining. With regard to KFC, we were very excited to have been awarded a significant contract for the development of a new digital menu board web portal for KFC and its franchises. This highly customized tool will be used by KFC corporate and franchises to manage the digital menu board program. This investment shows their ongoing commitment to the digital menu board initiative. In addition, during the third quarter of this year, we have installed and continue to install in all the new and remodeled KFC locations. We continue to work with KFC on their implementation plans for 2010 and will announce those plans as they become clear. Our relationship with Aramark continues to flourish. As our recent press release outlined, Aramark has begun deploying the Burger Studio application we jointly developed. Installs have been completed at the University of Delaware, University of Hartford, Middle Tennessee State, Missouri Western State University and Springfield College and additional locations have been identified and are being scheduled for installation. Aramark has created a repeatable, cost-effective and centrally-managed median network based on the RoninCast platform. This effort allows any business unit of Aramark to leverage a library of existing, internally-developed digital menu boards for any number of Aramark dining concepts. To date, multiple Aramark operating divisions have participated, including healthcare; for example at Children’s Hospital of Philadelphia along with several others, K-12 and Business Dining for example at AT&T World Headquarters. In addition, Aramark is internally selling the capabilities we have jointly developed through their various business units. We participated in the Higher Education National meeting in October interfacing with more 250 local decision makers for Aramark. Finally, it is clear that the ROI drivers in the QSR space are encouraging QSR companies to evaluate deployment of a digital menu board initiative. We see great opportunity with the work being done with our current and potential customers. It is important to note that we are in the trial or pilot phase with a number of large QSR companies. We have made tangible progress demonstrating the benefits of RoninCast Digital Signage to several substantial QSR customers and prospects. Ongoing company trials or pilots represent opportunities in chains with more than 22,000 total combined sites. In a recent conversation with a large QSR, digital menu boards were described and as I quote "necessity to compete". Complexity of menu, dayparting, pricing and nutritional information are just a few of the drivers maintaining menu board compliance nearly impossible to achieve with traditional static media. Operationally, this particular client did not see how any QSR company would remain competitive without converting to digital menu boards. Not including the opportunities I have just listed, we are currently engaged with over 20 different QSR and Fast Casual companies in various stages of the evaluation, testing and the purchasing process. As I noted before, the drivers that will eventually lead to the adoption of digital signage continue to be return on investment, sales lift and customer experience and customer experience. The potential requirement derived from the proposed standard of nutritional labeling on menu boards is simply the final straw which we believe will compel these customers to deploy the networks. Turning to the automotive industry; we are starting to see new life in this sector. First, let me address our relationship with Chrysler. As many of you know, WRT has had a long association with Chrysler and is currently helping the new Chrysler fundamentally change the car-buying experience with the i-Showroom application. In the third quarter, we were awarded a contract to use the digital signage application of i-Showroom to create a web application that can in the very new term be deployed to the desktop in 2200 Chrysler showrooms. In addition, Chrysler has purchased a number of kiosk applications of i-Showroom to see the deployment of this technology to the showroom floor. We believe that this, like the KFC project demonstrates Chrysler’s long-term commitment to digital signage, to distinguish themselves in the way in which they use interactive digital signage to sell cars. Beyond Chrysler, we have been working with a number of both, manufactures and dealer groups in the automotive industry. One key agency in particular with which WRT has aligned itself represents over 750 dealers. This opportunity includes an interactive touch screen application in the new dealer service areas, as well as customer lounges. We have additional work for auto shows and other dealerships installations before the end of the year. As Darin discussed, the anticipated closing of our common stock offering, we will raise net proceeds of $6 million. The completion of this offering combined with the significant reduction in burn rate that we have achieved over the last year will provide us the working capital to fund our business well into 2011. While the poor economic climate at this time has placed a drag on capital expenditures, WRT has used this time to improve its products, to continue to provide outstanding solutions to existing customers and to attract new customers and prospects. So, before I open the call to your questions, let me say that we believe we are on the right track as we near the end of 2009 and head into 2010. We believe that the ground work we have laid over the past several quarters and the investments we continue to make in our technology and infrastructure positions us well for the quarters ahead. Our own optimism is fueled by our customer’s enthusiasm for the RoninCast system and we continue to look forward to a promising year ahead. This concludes our prepared remarks. I would now like to open the call up to your questions. Nancy?
Operator: (Operator Instructions). We will take our first question from Jay Meier from Feltl & Company.
Jay Meier - Feltl & Company: You talked about a lot of your opportunities, Jim with QSRs and I really appreciate some of the additional details about the scope and the size of the opportunities that you guys are currently looking at, but you didn’t talk about NEC really and the potential opportunities there. You’ve hinted at a few in the last conference call. You said there was a specific development that they were interested in doing with you. I wonder if you can give us an update on that.
James Granger: We are thrilled with our continued relationship with NEC. NEC has introduced WRT to a number of potential customers. There is one very large-scale customer. It hasn’t turned into a sale, yet we are very excited about the proposal stage that we are in. NEC is continuing to work on a new offering that can better bring together advertisers and networks of digital signage screens. They look forward to announcing that initiative here in the near future and we are working with them on enabling that initiative through the adoption and adaption of our core software. While, not a target for us in the digital out-of-home advertising, it is certainly a target for them and it will introduce us to a whole new set of customers. As I said, it already has started out with the good opportunity we are working on with them and we look forward to their announcements in the coming week.
Jay Meier - Feltl & Company: It sounds like you’re describing an aggregator situation. Is that a fair characterization of what you think NEC is angling toward?
James Granger: I’m going to let NEC talk about it and I don’t think we are too far away from their discussion of this opportunity. It is a way of really bringing together advertisers and networks of digital signage to promote the advertising in digital out-of-home. One of the things that we see and there’s some statistics out there which say that agencies and brand marketers plan to increase their digital out-of-home advertising spending through 2009 and into the first half of 2010 and they find that by 2013, the spending on digital out-of-home advertising is going to be more than $4.5 billion of advertising revenue. How we take advantage of that and how we participate in that is the enabling of that to happen in digital signage networks across the country and across the places where NEC would deploy this capability. You’ll see more about that, Jay in the coming weeks and I think it’s quite exciting for NEC and for Wireless Ronin, but probably more importantly, it’s exciting for the opportunity for customers to bring together advertisers and digital out-of-home networks of digital signage.
Jay Meier - Feltl & Company: In your relationship with NEC, one of the big highlights was that you’re not going to be handling the hardware in NEC sponsored deals and you to be selling your software and then get [knock] fees beyond that. How should we expect revenue to flow on this NEC opportunity, can you dip your hand there a little bit?
James Granger: We foresee opportunities and the one opportunity that we are working with them on. This is an opportunity that hasn’t turned into an order or sale yet, but the opportunity would still be exactly that, it would be Wireless Ronin software and initiation services along with network operation fees for the long term, while the hardware to be sold direct hardware and installation services et cetera would be sold directly by NEC That is probably the best model for us. We don’t see ourselves as a hardware company, we see ourselves as a software and services company.
Jay Meier - Feltl & Company: We talk about KFC and there’s five screens per site, we can talk about others QSR and maybe it’s not five screens, it maybe just one screen, can you give us an idea of how many screens per site you think of when you look at those, just average when you look at 22,000 sites?
James Granger: Each one of this is different. You have locations with 17 boards and then you have locations with one. The 22000 sites are for, just remind everyone was customers with which we have ongoing relationships, pilots and/or trials et cetera. Scott, could you aggregate that up and come up with the numbers of screens.
Scott Koller: We are doing pilots with three to four QSR initiatives and to tell you how varied it is, one of them is one screen per promotion search menu board, one is six screens and one of those pilots assessing four different initiatives from promo to entertainment to a full menu board. If you want to take an average of the three screens, if you take an average because the one is one screen, but it really varies. When we look at the QSR footprint, the menu board is obviously the number one target, but promotioned in one screen or two screen format and dining room. There’s a lot of areas where people start out initially, it’s not beyond them to rollout one screen and then build from there and the key is scalability. It’s three if you are trying to model.
Jay Meier - Feltl & Company: I’m not really trying to model, except just sort of quantify how big the opportunity could be, total addressable market if you think about it that way, right?
Darin McAreavey: That 22,000 just represents the ones that we have pilot or trial or clear line of sight.
Operator: (Operator Instructions). And we’ll take our next question from Rick Ryan from Dougherty.
Rick Ryan - Dougherty: Can you break out the NAC revenue from the service line?
Darin McAreavey: The 493 that we recognized in the quarter, it was roughly a 150.
Rick Ryan - Dougherty: So, getting close to breakeven in Q3?
Darin McAreavey: Yes, we were pretty close to breaking even in the third quarter, expected to grow positive in the fourth.
Rick Ryan – Dougherty: Okay, how much development is needed in RoninCast and is it Q4 or does it stretch into 2010? And what else is needed for those investment dollars?
James Granger: We are deploying RoninCast. The latest edition of RoninCast is actually out and being used by certain customers. It’s a never ending process, like any good software it never ends. What you are constantly doing is making sure that it’s powerful and strong and meeting the needs and staying one step ahead of the market place which is exactly what we are trying and I think somewhat succeeding to doing. We are going to talk a little bit more in the very near future about the enhancement to RoninCast and kind of outline it from a marketing standpoint, but to be perfectly honest with you, the newest version of RoninCast is already deployed in a couple of locations, but we continue to work on it.
Rick Ryan – Dougherty: What was the KFC totaled at the end of Q3?
James Granger: About $130, it was at one point a $1.127, then we did five stores in the past quarter. So it’s $132 to $133. That’s a moving target now because every new, every remodel comes through and I don’t see them all. They just roll through.
Rick Ryan – Dougherty: The large customer you indicated coming through from NEC, is it for their new initiative for their universal ad platform, is it coming from that side or they are looking at something else?
James Granger: It is the adoption of that, but it also allows that particular customer to take advantage of the full RoninCast software because they have other initiatives that they have, their initiative would be part of the supporting revenue stream for the adoption of this at a broad level.
Operator: (Operator Instructions). It appears there are further questions at this time. I’d like to turn the conference back over to our speakers for any additional or closing remarks.
James Granger: I’d just like to thank everyone for joining us on our call today. We're very exited about going forward and we look forward to reporting our end of year and full-year results early next year. Thank you again.
Linda Hofflander: Thank you, Jim. I'd like thank everyone for his or her participation on today's call. Please remember that today's call has been recorded and will be archived in our Investor Section of our website at wirelessronin.com. Also, this call will be available for replay. Again the dial-in information from domestic and international locations can be found on our website. Thank you and good-bye.
Operator: That concludes today’s conference. Thank you for your participation. Copyright policy: All transcripts on this site are the copyright of Seeking Alpha. However, we view them as an important resource for bloggers and journalists, and are excited to contribute to the democratization of financial information on the Internet. (Until now investors have had to pay thousands of dollars in subscription fees for transcripts.) So our reproduction policy is as follows: You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. All other use is prohibited. THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!